Operator: Welcome to Carter's Fourth Quarter and Fiscal Year 2023 Earnings Conference Call. On the call today are Michael Casey, Chairman and Chief Executive Officer; Richard Westenberger, Senior Executive Vice President, Chief Financial Officer and Chief Operating Officer; Kendra Krugman, Senior Executive Vice President, Chief Creative and Growth Officer; and Sean McHugh, Vice President and Treasurer. After today's prepared remarks, we will take questions as time allows. Carter's issued its fourth quarter and fiscal year 2023 earnings press release earlier this morning. A copy of the release and presentation materials for today's call have been posted on the Investor Relations section of the company's website at ir.carters.com. Before we begin, let me remind you that statements made on this conference call and in the company's presentation materials about the company's outlook, plans and future performance are forward-looking statements. Actual results may differ materially from those projected, and the company does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For a discussion of the factors that could cause actual results to vary from those contained in the forward-looking statements, please refer to the company's most recent annual and quarterly reports filed with the Securities and Exchange Commission and the presentation materials and releasing -- earnings release posted on the company's website. On this call, the company will reference various non-GAAP financial measurements. A reconciliation of non-GAAP financial measurements to GAAP financial measurements is provided in the company's earnings release and presentation materials. Also, the call is being recorded. I would now like to turn the call over to Mr. Casey. Mr. Casey, you may begin.
Michael Casey: Thanks very much. Good morning, everyone. Thank you for joining us on the call. Before we walk you through the presentation on our website, I'd like to share some thoughts on our business with you. We had a strong finish to the year. In the fourth quarter, we saw a sequential improvement each month in our comparable U.S. retail sales and earlier than planned demand for our new spring product offerings. Earnings and cash flow in the quarter were better than planned. Our earnings per share in the fourth quarter were up over 20% with margin expansion in each of our three business segments. It was our strongest growth in quarterly profitability in over two years. Our fourth quarter profitability was driven by the strength of our product offerings, on-time deliveries from Asia, better price realization, lower product costs and good control over discretionary spending. We made good progress in the fourth quarter, working down inventories that backed up in 2022 when inflation surged to historic levels and consumer demand slowed. Substantially, all of the $100 million of pack and hold inventory that was carried over from 2022 was sold through profitably last year. Given the success of that inventory reduction strategy, our inventories were down 28% by year-end. Lower inventories and higher profitability in the quarter drove cash flow from operations to over $500 million in 2023, which was much better than we planned. That strong cash flow enabled us to fully invest in our growth strategies last year, and we returned over $200 million of excess capital to our shareholders through dividends and share repurchases. Recall that our fourth quarter got off to a slow start with demand for our cold weather apparel, weighed down by record high temperatures in October. As weather cooled, we saw an improved trend in demand for our fall and holiday product offerings. Thanksgiving was an inflection point in traffic to our stores and websites. We saw a good demand for our holiday apparel, including our best-selling Christmas pajamas and our first Christmas outfits for babies across all brands. On-time deliveries enable us to support higher demand for our spring product offerings. Consumers responded very positively to our post-holiday color stories, fabrications and more fashion forward collections, including our new Little Planet and PurelySoft product offerings. That favorable trend in demand for our spring product offerings continued into the early weeks of 2024. The distribution of our new Little Planet brand grew from less than 800 stores in 2022 to over 2,100 stores in 2023, including Target, Kohl's, Macy's and many of our stores in the United States, Canada and Mexico. Little Planet is our more premium priced product offering. We believe the success of our Little Planet brand provides a new opportunity to lean forward with more elevated product offerings. Our new PurelySoft collection is another example of product innovation and provides a new source of growth for us. Consumers have responded very positively to PurelySoft's differentiated fabrics which are made from sustainable materials. Our fashion-forward collections appeal to less price-sensitive consumers and provide additional choices which are differentiated from our everyday essentials. Our U.S. retail business was the largest contributor to our sales and profitability in the fourth quarter. We continue to see better performance in our stores with profits up over 10% on slightly lower sales in the quarter. For the year, our store sales were down less than 5%, in line with the market trend. E-commerce continues to be one of our highest margin businesses, but its sales were down about 20% last year. In the broader market, third-party credit card data suggests that the online purchases of apparel, all ages, including adult apparel were also down about 20% last year. Lower traffic drove the decrease in our e-commerce sales. Conversion rates and average transaction values were comparable year-over-year. To improve the trend in e-commerce traffic this year, we have engaged new media and creative agencies. We have also engaged internal and external resources to improve our search engine optimization capabilities. Though traffic to our websites is lower, we believe the quality of the traffic is better than years past. Historically, we attracted a higher mix of consumers, including international guests shopping for deep discounts during clearance sales. Given our progress running leaner on inventory, we were less promotional last year. Though e-commerce traffic slowed last year, Carter's continued to be the best-selling young children's apparel brand online. Together with our wholesale customers, the online purchases of our brands globally last year were over $1 billion. Our U.S. wholesale segment was the second largest contributor to our sales and earnings in the fourth quarter. In the fourth quarter, we saw earlier-than-planned demand for our new spring product offerings. That was the fourth consecutive quarter we saw earlier-than-planned demand driven by leaner inventories and good sell-throughs. Many of our wholesale customers planned inventory commitments conservatively for 2023. When inflation surged in 2022 and consumer demand slowed, our wholesale customers canceled orders that year and then cautiously planned new commitments for 2023. Those decisions enabled many of our wholesale customers to run leaner on inventories last year. Leaner inventories drove better price realization and higher margins for many of our wholesale customers. We believe the destocking of inventories by our wholesale customers is largely behind us. Bookings to date support growth in wholesale sales this year. Our wholesale sales plan this year reflects a 50% reduction in unprofitable sales to off-price retailers. The lower mix of off-price sales reflects the quality of our inventory heading into 2024. We saw good growth in our international sales in the fourth quarter, driven by our expansion in Mexico and earlier wholesale demand for our spring product offerings. That growth was partially offset by lower sales in Canada. Given its northern climate, Canada had a higher mix of cold weather gear for sale in the fourth quarter. Record warm weather weighed on demand for those products, but trends improved as cooler weather arrived and that favorable trend has continued into the first quarter. This morning, we shared our outlook for 2024. We expect to return to growth in sales and profitability this year. We are assuming an increase in unit volume and we plan to be less reliant on pricing to drive growth. Our average prices this year are planned down about 1%, which reflects sharper price points on key items and the mix of products to be sold. For 2024, we are planning low single-digit growth in our U.S. retail and wholesale sales. International sales are planned comparable to last year. To achieve our growth objectives, we are focused on four key strategies, which are strengthening our U.S. retail business, improving marketing effectiveness to drive traffic, growing U.S. wholesale sales through tailored strategies and expanding globally. Overarching and driving each of these strategies is the planned elevation of our product offerings, style and value proposition. With respect to our U.S. retail business, we plan to return to growth in comparable retail sales this year. That growth will be driven by the strength of our product offerings, continued fleet optimization and new marketing capabilities. For the first time in four years, Carter's isn't burdened by excess pack and hold inventory caused by the slowdown in consumer demand following the pandemic in 2020 and the surge in inflation in 2022. Given our progress working down that inventory, we believe we have a higher mix of fresh product choices this year with on-trend colors, prints, silhouettes and fabrications. Our stores in the United States are the largest contributor to our consolidated sales. They provide the very best presentation of our brands and are the number one source of new customer acquisition. We expect to see the benefits from our continued fleet optimization strategies this year. Over the past four years, we have focused on closing low-margin stores upon lease expiration and opening stores in higher-traffic centers. This year, we plan to open 40 high-margin stores and close 30 low-margin stores in the United States. We also plan to increase our investment in store remodels. We tested new store models this past year. Given the results of those tests, some of our store openings this year may focus exclusively on our baby and toddler product offerings. These stores will enable us to curate our best product offerings for families shopping for a newborn to about a four-year old child. Carter's has the number one market share of the U.S. baby and toddler apparel markets. Last year, our baby and toddler product offerings contributed over 80% of our consolidated sales. We also tested a new format for our 150 side-by-side stores. These stores have apparel and related accessories for a newborn to about a 10-year-old child. In years past, our side-by-side stores had our Carter's brand on one side of the store and our OshKosh brand on the other side. Going forward, our side-by-side stores will be merchandised by age segment. We will have the best of our baby and toddler product offerings on one side of the store, including Carter's OshKosh and Skip Hop, will have the best of our product offerings for older children on the other side of the store. We believe this new store model improves the convenience and shopping experience for families with young children and has improved the performance of our side-by-side stores. With respect to marketing effectiveness, this past year, we invested in new capabilities and resources to improve traffic to our stores and websites. In 2024, we will have the first full year benefit of a new media agency engaged last year. Among other things, this firm guides us on the highest and best use of marketing investments in social media, where increasingly parents exchange thoughts and recommendations on their favorite apparel brands. Carter's leads the children's apparel market in social media engagement. We have the largest following on TikTok, Instagram and Facebook in kids apparel. We have also engaged a new creative agency this year to help us better communicate the beauty, value and quality of our brands. We have one of the most highly rated loyalty programs in the market. Over 90% of consumers shopping with us last year were in our loyalty program. This spring, we plan to launch a redesigned and rebranded loyalty program. The new program will enable consumers to earn rewards quicker, which we believe will improve traffic and the frequency of visits. This past year, we launched new marketing personalization capabilities, which enable us to better analyze consumer shopping behaviors and tailor our marketing to each consumer based on the age and gender of the child they are shopping for. This is a good example of how AI is being used to improve marketing effectiveness and better serve consumers. In our wholesale business, we continue to roll out the new branding for our exclusive brands sold at Target and Walmart. This new point-of-sale marketing has enabled Carter's to have the most prominent brand presence in two of the largest and most successful retailers of young children's apparel. Our exclusive brands grew to over 50% of our U.S. wholesale sales this year and are expected to be a good source of growth for us this year. For 2024, we have tailored our product and marketing strategies to respond to the unique needs of our department store and club retail customers. We believe these customer-specific strategies which include exclusive product configurations are enabling growth with certain customers this year. We are the largest supplier of young children's apparel to the largest retailers in North America. We expect to benefit from the growth these retailers are planning for their businesses in the years ahead. Each of our wholesale customers have successful private label brands. They also recognize the need to carry the most popular national brands and Carter's is the best-selling national brand in young children's apparel. With respect to our International segment, our sales in Canada, Mexico and Brazil contribute about 85% of our international sales. In the years ahead, we expect our growth in international sales will be driven through new omnichannel capabilities in Canada and Mexico, expansion through our wholesale partner in Brazil, [indiscernible] representing our brands in over 90 countries outside of North America and over 1,200 points of distribution and through 100 websites globally. In summary [indiscernible] last year with improved traffic trends, increased profitability, lower inventories and stronger cash flow. We plan to return to growth in 2024. To return to growth, we will continue to focus on providing the very best style, value and experience in young children's apparel. We have invested some of our product cost reduction this year into product benefits and sharper price points. We believe these investments will enable us to drive growth in unit volume. Market conditions have stabilized, and consumer sentiment is improving. Inflation is moderating and real wages are rising. Gas and food prices are still elevated, but consumers have shown remarkable resilience adjusting to the inflationary environment. Carter's is the market leader in young children's apparel with unparalleled relationships with the largest retailers in North America. Our brands are sold through over 20,000 points of distribution worldwide. No other company in young children's apparel has broader distribution capabilities serving the needs of families with young children. As demonstrated in recent years, Carter's has multiple levers that have enabled us to manage through historic periods of market turmoil and volatility. We believe we are well positioned to benefit from the continued market recovery in the years ahead. I want to recognize and thank our over 16,000 employees worldwide who helped us achieve a strong finish to 2023. I'm grateful for their continued support and their contribution to our plan to return to growth this year. At this time, Richard will walk us through the presentation on our website.
Richard Westenberger: Thank you, Mike. Good morning, everyone. I'll cover our presentation materials this morning, beginning on Page 2. On Pages 2 and 3 of the presentation, we've included our GAAP basis P&L for the fourth quarter and full year. The next page summarizes our non-GAAP adjustments in the fourth quarter and full year periods for both this year and last year. In this year's fourth quarter, we had a benefit from the settlement of Carter's claims in the credit card antitrust litigation. In the fourth quarter of 2022, we recorded a charge to adjust the value of the Skip Hop trade name. Our adjusted view of results excludes these items in both periods, and I encourage you to review this reconciliation page. This morning, my comments will include references to results which are presented on an adjusted basis. On Page 5, we have some overall highlights of our performance in the fourth quarter. As Mike said, we were pleased with how the quarter and year finished up. Demand in our U.S. retail business improved as we moved through the quarter, particularly after Thanksgiving. Sales in U.S. wholesale were stronger than we had planned. Many of our wholesale customers have been running lean on inventory and we have several customers request shipment of new spring product earlier than we had planned. Fourth quarter profitability was especially solid driven by significant year-over-year gross margin expansion and lower spending. Our balance sheet is in great shape. We've made very good progress reducing inventories. We have well over $1 billion in liquidity, and we generated over $500 million in operating cash flow for the year. Our fourth quarter adjusted P&L is on Page 6. Sales in the quarter were $858 million, down 6% from last year, largely consistent with the decline in the overall U.S. children's apparel market in the fourth quarter. Sales were lower in our U.S. Retail and Wholesale businesses. International sales grew year-over-year. Despite lower sales, we posted growth in gross profit, driven by a 310 basis point expansion in gross margin versus last year. Driving this increase in gross margin were lower inbound freight rates, lower inventory provisions, reflecting our significantly improved inventory quality versus last year and improved margins in our U.S. wholesale business. Spending was well managed in the quarter, down 5% overall versus last year. We saw lower volume-related and bad debt expenses, which were partially offset by higher costs related to new stores and performance-based compensation. Our fourth quarter adjusted operating income grew 15% over last year to $136 million, with meaningful expansion of our operating margin to nearly 16%. Below the line, interest and other expenses declined by $4 million, reflecting lower borrowings and higher interest income given our strong cash position. Our effective tax rate in the quarter was 22.8%, up 260 basis points versus last year, which reflected a higher mix of U.S.-based income in 2023. Our weighted average share count declined 4% as a result of our share repurchase activity in Q4 and earlier in the year. So on the bottom line, adjusted earnings per share were $2.76, up over 20% compared to a year ago. Our business segment performance for the fourth quarter is on Page 7. As I mentioned, our adjusted operating margin was 15.9%, an increase of nearly 300 basis points. All of our business segments had strong operating margins and each segment posted margin expansion over last year's fourth quarter. Moving to Page 8. We've summarized additional perspective on our business segment results for the fourth quarter. As we've said, sales in our U.S. and Canadian retail businesses started slowly. We believe a result of the record warm weather at the beginning of the quarter. In our U.S. Retail segment, demand improved as we moved through the quarter and inflected meaningfully around Thanksgiving, and the stronger trend continued through the end of December and into January. Our comparable sales in the U.S. declined 11%, largely within our forecasted range for a decline in the high single to low double digits. Continuing the trend we saw for much of the year, traffic and comp sales were stronger in our stores than in the e-commerce channel. We were particularly pleased that our stores posted a positive comp in the month of December. In U.S. wholesale, as mentioned, our sales were better than we had planned as several customers accelerated their demand for new spring product. It's historically been a positive to get that new product out the door, so it reaches our customers, stores and websites as soon as possible. We saw a meaningful improvement in the profitability of our U.S. Wholesale business in the fourth quarter, largely driven by lower product and transportation costs and our significantly improved inventory position versus a year ago. And international sales in Canada were lower in part due to the same issue of warm weather, which affected our U.S. retail business. Our fourth quarter business in Canada is very outerwear centric and consumers delayed their purchases of these products given the late arrival of cooler weather. We posted growth in Mexico, principally due to the contribution from new stores. We also had good growth in Q4 sales to our partner in Brazil and a benefit from a shift in timing of shipments to other international customers. Similar to our other businesses in the fourth quarter, we saw good expansion in international profitability driven by lower product and transportation costs. On Pages 9 and 10, we've included our full year P&L and a summary of business segment performance. Full year net sales were just under $3 billion, and we achieved an 11.1% adjusted operating margin. Despite overall demand below what we had hoped for, each of our business segments achieved a double-digit operating margin for the year. Our analysis suggests that the 11.1% consolidated adjusted operating margin, which we achieved puts us among the top tier of our peers in the industry. On the next page, as mentioned before, our balance sheet is in great shape. We ended the year with over $350 million of cash on hand and virtually our entire credit facility borrowing capacity available to us. Year-end inventories were 28% lower than a year ago, in part because of our success in profitably selling through pack and hold inventory. The quality of our year-end inventory was excellent with meaningfully lower excess inventory than a year ago. 2023 was a strong year of cash flow with over $500 million of operating cash flow, which supported our investment initiatives across the business as well as continued meaningful return of capital to our shareholders. Based on our outlook for growth in 2024 and our forecast for continued good cash generation, our board has declared 7% increase in our quarterly dividend to $0.80 per share beginning in the first quarter of 2024. On Page 12, just a few thoughts on our overall position in the marketplace. We believe we possess numerous strengths, which position us very well to continue our leadership of the young children's apparel market. First, our Carter's and OshKosh brands date back to 1865 and 1895, respectively, which has established equity with multiple generations of consumers. We have over 20 years of experience with the Just One You and Child of Mine brands, which serve Target and Walmart. More recently, we created the Simple Joys brand available on Amazon, which now represents one of our largest wholesale relationships. And we've talked about the potential we see with the innovative new Little Planet brand. Last but not least, Skip Hop is a leading lifestyle brand serving families with young children through a broad assortment of innovative hardlines products. We have the largest market share in North America with particular strength in the baby and toddler product categories. Our market research consistently indicates that consumers prefer our brands for their quality, value and customer service. One of our strengths is our broad distribution through our multichannel business model in North America and our global reach through partners who represent our brands in dozens of countries around the world. Finally, as a company, Carter's has been known for the consistency of our growth, profitability and strong cash flow as well as for our track record of returning significant capital to our shareholders over many years. Now turning to our plans for 2024, beginning on Page 14. We expect growth in 2024, and I can't recall a time when we've had as many initiatives and new capabilities, all focused on driving growth. Page 14 provides a good sense of the breadth of our various product, marketing and channel initiatives, and I'll cover some additional details of each of these, beginning with our product strategies on Page 15. Everything in our company starts with creating great product. We're continually innovating our assortments to be compelling to today's generation of parents. This year, as Mike has commented, we're leaning into our historic strengths of style and value, again, to match the expectations of today's consumers. We've reinvested a portion of the lower product costs we have negotiated for 2024 into additional product make and in some targeted price reductions on the most market competitive items in order to further improve our value proposition and drive unit growth. Mike mentioned our success with our newest brand, Little Planet. This brand's price points are higher than similar Carter's styles, but Little Planet addresses a distinct consumer preference for organic and sustainable-based products which attract, we believe, a less price-sensitive consumer. We're planning for good growth with Little Planet in 2024 in our retail business and in the wholesale channel. In 2023, we also launched a new highly innovative collection called PurelySoft. These products created from sustainable materials are exceptionally soft. Consumer response so far has been very strong. These products will be available in all of our retail stores this spring and with select wholesale customers, including Kohl's and Macy's. Perhaps as important as our product-based initiatives are our marketing strategies, which are intended to attract consumers and develop enduring relationships with them. Driving improved traffic is the mission and focus of our marketing efforts in 2024. We've summarized many of these initiatives that we have underway on Page 16. An important initiative this year will be to relaunch our loyalty program. We have a very high participation rate in our existing program, which captures nearly 90% of our U.S. retail sales. Our relaunch program will be rebranded as Carter's Rewards and will allow consumers to earn rewards faster and create greater differentiation and rewards for our best customers. 2023 was a year of significant investment in establishing foundational capabilities to offer greater personalization of marketing messages and offers to consumers. These new capabilities are now live and integrated with our various communication media, including e-mails and text messaging. On the next page, social media continues to grow in importance in how we connect with consumers. Gen-Z consumers spend hours each day on social media platforms. The average TikTok user spends over 25 hours a month on this specific platform. Now Carter's has built a community of over 250,000 followers on TikTok, a follower count which is larger than our major competitors and many other leading retailers. Finally, we found that Gen-Z consumers trust product recommendations they find on social media and from social media influencers even more than recommendations from family and friends. To this end, we're continuing to scale our partnerships with leading social media influencers and content creators to drive brand affinity and increase purchase intent. On Page 18, the growth engine of our company is retail. Our priority here is to return to comparable sales growth in 2024. We're planning for improving traffic and sales in our stores and e-commerce channels as we move through 2024. Building on the product strategies as I mentioned, we continue to look for ways to evolve our store formats and customer experiences. In 2023, as Mike said, we've repurposed approximately 150 existing side-by-side format stores to present baby and toddler on one side of the store and older kid sizes on the other. We saw a nice lift in sales in these reconfigured stores versus a control group. And we're leveraging learnings from these stores as we continue new store formats going forward. We have other store format and customer experience work underway, and we will look forward to updating you on our learnings and progress as the year proceeds. On Page 19 to 20, we have some photos of one of our reconfigured side-by-side stores. This particular store is in the Atlanta area. Page 19 includes photos of the baby toddler experience, offering everything a parent might need for a young child. And on Page 20, we have the presentation of the bigger kid assortment. In this part of the store, we've added some new experiential technology and gaming to appeal to the older child who might be visiting the store with mom. On Page 21, we have some photos of the Little Planet in-store shop, which we will test in a dozen or so of our stores beginning next month. This presentation includes an expanded Little Planet product assortment, upgraded fixtures and new lifestyle photography. On Page 22, e-commerce remains a critical element of our U.S. retail business as today's consumers expect a seamless integrated omnichannel experience with their favorite retailers. We consistently receive high marks for our e-commerce site. We're constantly looking to improve the online shopping experience and have a number of enhancements planned again this year, as summarized on this page. Recently, a third-party industry publication ranked Carter's as the highest-rated children's apparel omnichannel retailer and in the top five of all the retailers, which they evaluated. On the next page, in our U.S. wholesale business, our wholesale customers continue to plan their businesses and inventory commitments conservatively. We believe our wholesale customers are pleased with the performance of our brands, which have delivered increased sell-throughs and margins. Our exclusive brand businesses with Target, Walmart and Amazon account for over half of our wholesale segment sales. We believe these retailers will continue to leverage the convenience and broad merchandise offerings, which their business models provide to consumers. Most parents are shopping frequently with these retailers, so our presence with them is a great competitive advantage. For the balance of our wholesale customers, namely our business with department stores and clubs, we've developed more tailored product strategies to meet their particular needs. These strategies include unique product configurations and changes to how we flow product. Turning to Page 24 and our Just One You brand at Target. We've recently launched new spring fashion product at Target. This time of the year has traditionally represented a peak baby registry period for new parents. Our marketing at Just One You developed in partnership with Target will engage with new parents as they build their registry wishlist on Target's website. Consumers will also see Just One You featured prominently in other target digital media placements and in-store with new branding signage. We have a number of initiatives also underway with Child of Mine at Walmart as seen on Page 25. 2024 is expected to be a year of strong sales growth for Child of Mine with an expansion of baby, sleepwear and toddler product offerings with additional floor space in Walmart stores. Also in support of this expanded presence, we will launch new elevated Child of Mine brand marketing in over 1,600 stores by the end of this month. This branding is intended to lift the visibility and awareness of Child of Mine as Walmart customers shop for their families. On the next page, Carter's exclusive brand for Amazon. Simple Joy's continues to enjoy strong brand awareness among consumers. We feel very good about the business we've built with the world's largest online retailer. Shown here are some images of new spring products, just part of the broad Simple Joy's assortment, which we offer on Amazon. Moving to our expectations in International on Page 27. Overall, we're planning sales in our International segment to be comparable to 2024. In Canada, we're planning for comparable sales growth in our retail business, but this growth is offset by lower bookings in the Canadian wholesale channel. Canada is a market where consumers continue to be meaningfully affected by inflation and we're mindful of the upcoming reset of a good portion of Canadian mortgages to current much higher interest rates and the impact this may have on consumer demand. We're planning for continued growth in Mexico with the opening of eight new co-branded stores in 2024. We're expecting very good growth from the build-out of our retail business in this market in coming years, with an opportunity to more than double our retail square footage in this important market. In our partners wholesale business, we're planning growth with Riachuelo in Brazil, which recently opened its 62nd Carter's store. Outside of Brazil, we're planning lower sales with partners whose businesses have been affected by the conflicts in Eastern Europe and the Middle East and the financial crisis in Argentina. For our specific expectations for 2024 on Page 28. Overall, we're planning net sales growth in the low single digits or sales of approximately $3 billion. Growth is expected to be led by our U.S. retail business with an assumption of total and comparable sales up in the low single digits. U.S. wholesale sales are also projected up in the low single digits. As Mike noted, we're planning for meaningfully lower sales in the off-price channel, which will affect our reported sales growth in the wholesale segment but will ultimately benefit profitability. And as noted, international sales are planned comparable overall with 2023. On profitability, we're planning mid-single-digit growth in both operating income and EPS. We expect another good year of operating cash flow with planned capital expenditures supporting new and remodeled stores, technology initiatives and investments in our distribution centers. Importantly, we're assuming that the economy continues to improve and the consumer demand will strengthen as we move through the year. And as noted, we expect the second half of the year will be stronger than the first. Our expectations for the first quarter are summarized on Page 29. The first quarter has historically represented the smallest contribution to our annual sales and earnings. First quarter net sales are forecasted in the range of $620 million to $645 million. The decrease in sales versus last year's first quarter is largely driven by differences in the timing of wholesale customer [indiscernible]. A greater proportion of spring product was shipped in the fourth quarter of 2023 and some shipments which occurred in first quarter last year are planned this year in the second quarter. These timing shifts represent about $36 million in wholesale sales. First quarter got off to a strong start. Our January U.S. retail comps were down about 7%, in line with our plan and representing an improved trend over the minus 11% comp in the fourth quarter. Demand slowed a bit in February, in part, we believe, due to having less spring inventory in our stores as a result of disruptions in shipping through the Red Sea. We've made changes in our product routing to direct more of our import activity to the West Coast and around the southern tip of Africa to avoid the Red Sea. Right now, we're not expecting significant further disruptions in bringing product to the U.S. from Asia. Our quarter-to-date comps in our U.S. retail business are running down about 8%. March represents about half of U.S. retail sales, so we're looking to make up some ground as we move into these bigger volume weeks ahead, which will hopefully come inside with the arrival of warmer temperatures around the country. Easter is also earlier this year, which we will -- which we expect will also benefit business in March. We're planning for good gross margin expansion in the first quarter, driven by lower product and transportation costs and a greater mix of higher-margin retail sales than last year. Some of our other assumptions for the first quarter are summarized here for your reference. On profitability, adjusted operating income is planned in the range of $35 million to $40 million with adjusted EPS in the range of $0.60 to $0.70. We're approaching this year with optimism and confidence in our many growth initiatives. Risks, which we're monitoring include the pace of continued reduction in inflation and consumer confidence in the context of the overall economic backdrop and the upcoming presidential election. And we're monitoring the situation in the Red Sea and possible additional implications on delivery of product and transportation costs. With these comments, we're ready to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Warren Cheng with Evercore ISI.
Warren Cheng : First question is just on margins. It seems like the magnitude of the gross margin expansion steps down a bit in the first quarter. To the freight and AUC tailwinds that were pretty strong in the second half of the year. So did those step down in the first quarter? And then how should we think about how those play out in the second half as they start to anniversary some of the tailwinds from last year?
Richard Westenberger : I would say we're planning for margin expansion, Warren, in both first half and second half of 2024. I would expect it to be stronger first half. We're still not fully anniversary down on those more favorable inbound ocean freight rates in the first half. So that's a benefit. Our assumption is that rates will continue to pull for the balance of the year more -- in a more stable fashion, but it's not quite the same benefit. What kicks in, in a more meaningful way for us are lower product costs in the second half of the year, more of the input costs are coming through lower as there's more capacity in Asia. So our supply chain team has done an excellent job negotiating those lower product costs. So I'm bullish on the outlook for gross margin.
Warren Cheng: That's really helpful. And then my follow-up, can you give us a little more detail on what you saw from some of the price reductions that you tested in the fourth quarter? Where did you sharpen the price points? What was the response? And how should we see some sharper price points roll out through the year?
Michael Casey: Warren, it's largely on the opening price point product. The everyday essentials, just have a more consistent experience throughout the year on what those price points would be. So given the progress with cost reduction, we took some of that cost reduction, put it into product benefits and where we thought it would be helpful, we've gotten sharper on price points in the magnitude of $1 or $2 for certain key items, still $1 or $2 above private label because when we raised the prices, private label, generally during the inflationary period, raised prices as well. I would say, during the worst of the early days of inflation, when we lowered prices, we did not see a meaningful change in unit velocity. So we stuck with the pricing that we -- what we had because product costs were higher, we kept the prices higher. But with product costs lower now, we saw that as an opportunity to get sharper on some key price points.
Operator: Our next question comes from the line of Tom Nikic with Wedbush.
Tom Nikic: I wanted to follow-up on the product costs. So looking at the cotton chart, comp has started to move upwards again. I think it's up about 25% in the last couple of weeks, approaching $1 again like -- Richard, is there kind of like a level at which, like you're still comfortable with cotton prices? Is there kind of a level like above which like it starts to become a problem? Just I guess, kind of how do we think about cotton vis-a-vis the recent increases?
Richard Westenberger: Well, Tom, we've been watching the same kind of movement in the commodity prices that you're noting and that you've noted in your research as well. At this point, we've secured our cotton as that's going to be in our 2024 assortment. So it would be more of a forward implication for 2025 products at this point. So not concerned as it relates to the next 12 months. A lot can happen here as the year plays out. But again, our supply chain teams have done a good job kind of putting us in a good position to enjoy lower product costs, including lower cotton inputs for the 2024 product assortments.
Michael Casey: Richard, and, our Head of Supply Chain, Karen Smith, will be in Asia, next week, meeting with all of our suppliers. We've had good top-to-top meetings with them earlier this year, virtually earlier this year. I think that we would describe that the cost environment is fairly stable. And cotton is an important input cost, so is oil for polyester. I'd say on labor, it's kind of mixed. Labor rates went up in Bangladesh this past year. But probably the biggest driver of cost near term. In near term, again, to Richard's point, we have visibility through largely winter of this year starting to get some indication of spring next year is capacity, manufacturing capacity. And our sense is we've had suppliers come here to Atlanta asking us for more work. But as every major retailer, including Carter's has gotten leaner on inventories and being more cautious on inventory commitments to drive better sell-throughs, price realization and margins that has opened up capacity. So as the suppliers are eager to fill that capacity, they've been very helpful meeting our cost and margin objectives. So near term, I would say our visibility through the balance of the year is good. And as we move through the year, we'll give you some indication of what we think is possible going into '25.
Tom Nikic: Understood. And if I could also add one more. So I would like to ask about U.S. wholesale. So sounds like you expect growth in the mass channel with the exclusive brands. I think you said a big, sort of 50% decrease in the off-price channel. Where does that leave the department store channel? I guess that's kind of the third leg a stool in U.S. wholesale?
Michael Casey: I’d say it’s mixed. Some will be up, some will be down. And on the off-price, just to put it in context, we’ve never had a big off-price business. So if the mix last year was 4% of our $1 billion wholesale business, it will be closer to 2% this year. It’s always been a relatively low number. But in the department stores, I would say the department stores are showing some progress. We have visibility every day to how the department stores are doing. Again, they are trying to recover from the pandemic. They -- when they close stores, just like we closed stores for several weeks in 2020, a lot of the business swung over to the mass channel, which has helped us because we’re the largest supplier of kids apparel, the national brands in kids apparel to Target, Walmart, Amazon. But the department stores saw kind of this shift in traffic from their businesses over to the mass channel. But I’d say the department stores are showing some good signs of recovery. We see the spring selling. We see the over-the-counter selling and the arrow is pointing up there. So their businesses are recovering nicely, and we’ll benefit from that to some extent this year, and I think, more importantly, in the years ahead.
Operator: Our next question comes from the line of Jay Sole with UBS.
Jay Sole: Maybe if you can just kind of dig in a little bit more into the guidance that you've given for U.S. retail for Q1 and in the full year. I think you said that quarter-to-date, it's running down 8%. That's the comp so far and you're guiding down mid-single to high single. And then for the full year, coming to positive low single digits. I know, Mike, you talked about a lot of different initiatives to help the business. Can you just maybe give us an idea of which those initiatives are going to be the biggest drivers of sales and how they're going to sort of layer on as the year goes on to help drive that improvement in the comp trend?
Michael Casey: Sure. I'll give you the top two. One starts with talent and the other one is in product. So it was less than a year ago, we made some significant changes in our retail organization and with changes that followed were in the merchandising, design and marketing teams. And we're starting to see the benefit of that in spring. I think we expect to see more of that benefit as we move through the balance of the year, particularly in fall and holiday. But our business is heavily weighted to the second half. So it's talent, it's product. Some other things, Jay, we have a better mix of stores. We're going to close more low-margin stores this year, and we'll open up higher-margin stores. We've got new marketing capabilities that we've invested in this past year in terms of a new media agency. We'll have the first full year benefit of that media agency that guides us on the highest and best use of our marketing spend each year. We have a new creative agency that's been engaged for this year. So I think there's a number of good initiatives that we believe will enable us to have a kind of a glide path back to growth in comparable sales. That's our focus. We have to demonstrate that we can improve comparable sales this year. That is our focus. We expect we'll see progress with that objective as we move through the year. But I would say the top two, starts with talent. And then that very talented team is focused on elevating the style of our product offerings and the value proposition. So that's what you'll hear. Those will be the themes that we'll share with you our progress with as we move through the year.
Jay Sole: Got it. Maybe if I can just follow up on that. You mentioned how you're going to redesign the store format instead of side-by-side, instead of organized by brand, more organized by age. Given some of the challenges out there in the industry, is your expectation that you might be able to take share, maybe especially in some of the older kid categories as you go through the year?
Michael Casey: That’s possible because the -- what we’ve done with that new side-by-side model has created a better experience for that family shopping for about a 4- to 10-year-old child. And so we’ve seen a nice lift in the older age segment product offering and we’ve actually seen a better performance on the baby and toddler. The lion’s share of our business is in baby and toddler, about 80% of our total sales. The older age -- like we’ve had this age of strategy to make sure that the product is relevant for that slightly older child. In years past, we’d have an all in one box. Both we would have newborn to apparel for a 10-year-old child on the Carter’s side and we’d have a similar mix. We have baby at [indiscernible] up and then a product offer for up to a 10-year old on the OshKosh side. We think it makes -- you test, you test and learn, but the test we did last year putting baby and toddler all brands on one side and kid apparel, all brands on the other side has shown some promise. So that will be the model going forward.
Operator: Our next question comes from the line of Ike Boruchow Wells Fargo.
Ike Boruchow: Mike, a couple of quick questions. I'll throw them all out at once. Just number one, from a modeling perspective. I think, Mike, you said that the e-com comps for the year were down 20% -- sorry if I missed it, but what was the e-com comp in 4Q specifically? Then second question to kind of piggyback off of what Jay asked around retail improvement through the year. I wanted to ask about wholesale. First of all, I think you mentioned a shift and again, I'm sorry if I missed it, but can you quantify the shift that benefited 4Q and that's hurting 1Q? Just trying to understand organic wholesale, what that growth rate is in the first quarter? And how are you kind of planning that organic wholesale growth through the year? Because it does seem just like retail, you're expecting a nice step-up in demand. I'm kind of curious how much visibility you have there.
Michael Casey: So Richard will help you with the wholesale question, but the comp for e-com in the fourth quarter was down 19%. What we're encouraged by is that the trend we saw in the fourth quarter improved sequentially. It improved sequentially in each month from October, November, December and then even into January. So we've seen four consecutive months where the e-comm comp has improved since October. October was the toughest because comps grow at record levels in October. There just wasn't as high a demand we saw for our fall and holiday product offerings. But we're encouraged that we've seen four consecutive months of improvement in the e-commerce trend. And year-to-date, our e-commerce is down 10%. It was down 20% last year, now down 10% year-to-date. And then on wholesale in terms of the shift, Richard?
Richard Westenberger: Yes. On the amount that benefited Q4, it was just under $20 million of additional spring product that shipped kind of year-over-year. And then there's also an effect in the first quarter, some volume that will now push out, and that was about $15 million. Those are the two components of the roughly $35 million, $36 million that I referenced. For wholesale overall, we are assuming higher revenue growth in the second half from memory. It’s up mid- to high single digits in the second half of the year. So much stronger second half performance is what we’re calling for.
Operator: Our next question comes from the line of Jim Chartier with Monness, Crespi, Hardt.
James Chartier: What's your outlook for the children's apparel market for 2024?
Michael Casey: I would say stable. It’s about a $28 billion market in the United States. The market data we have, it's fairly stable. Births are fairly stable. We're seeing an increase in births of moms who are over 29 years old. Moms who are 25 to 29, that's down a bit. And then we saw like a 2% drop in new moms under 25. Biggest drop there in teenage moms, and we're -- that's okay by us, right? So that's -- we're seeing the increase in births to moms who are older. People are waiting, waiting a little longer until they get a little bit further along in their careers, but -- those who are having children a bit later have the ability to spend more on their kids. So I would say, the birth trends and market trends are fairly stable, thankfully.
James Chartier: Do you expect kind of flattish than kind of overall industry apparel sales?
Michael Casey: That's what we're assuming. And given our broad distribution in the market, we believe that we have an opportunity to have growth in a market that's fairly stable.
James Chartier: Great. And then what did sell-through at wholesale look like in 2023? And did it improve at all kind of later in the year?
Michael Casey: I would say the sell-throughs were good. We saw very good growth in our replenishment business in the fourth quarter. I think the replenishment trends were up about 9% in the fourth quarter. So that's where -- there's two business. I think you understand, Jim, there's kind of a seasonal business. There's a replenishment business. Directionally, it's two-third seasonal, one-third replenishment. But our wholesale customers were very cautious on the seasonal commitments for 2023. They had to make those decisions when inflation surged in the mid part of 2022. So they said, and we're not quite sure how long this inflationary cycle is going to last. So they pulled back on some of the seasonal commitments for '23. That's what weighed on our growth last year. But the replenishment is all about how the registers ring in. So those five packs and blanket sleepers, wash claws bids, all that stuff is being purchased, the register sends a signal to us to keep those fixtures in stock. So we were encouraged by the strong replenishment business in the fourth quarter.
Operator: Our next question comes from the line of Paul Lejuez of Citi.
Kelly Crago: This is Kelly on for Paul. I just want to follow-up on the retail business and the progression of retail comps throughout the year. Just given the Easter shift in 1Q this year versus I think 2Q last year, is it fair to assume that 2Q comps are still down and then kind of implies up mid-single digits for comps in 2H. Just wanted to clarify how we should be thinking about that? And then I have a follow-up.
Kendra Krugman: Kelly, it's Kendra. We expect a slight benefit in Q1 versus Q2 with Easter shift, but it wouldn't impact the half.
Michael Casey: I do think we're planning the comps down in the first quarter but you will see we expect that the comps will improve as we move through the year.
Kelly Crago: Got it. Okay. And then my second question, just a follow-up on the off-price impact to your wholesale sales in F '24. I think you said it's about 2% of wholesale, that's going to be down 50%. So is it around a $15 million headwind in F '24. I just want to make sure I'm not…
Michael Casey: I'm rounding for you. So it's a $1 billion business. So off-price sales were some portion of 4% last year, it would be closer to 2%. So it's in round numbers about $20 million.
Kelly Crago: Got it. Got it. And then just lastly, if there's any way to kind of give us a little bit more color on how much you expect SG&A dollars to be up this year, whether there's any impact being felt more in the first quarter versus other quarters is how we should be thinking about that line item as we move throughout the year?
Richard Westenberger: Kelly, I'd answer more in the context of the halves. I'd say low single-digit SG&A growth in dollars in the first half and something more like mid-single-digit growth in dollars. The second half of the year, as you know, is the bigger volume period. We've got more of our initiatives kicking in and such more of the effect of new stores and such in the second half. So that's how I would plan it.
Operator: Thank you. I'm currently showing no further questions at this time. I'd like to hand the conference back to Mr. Michael Casey for closing remarks.
Michael Casey: Thank you very much. Thank you all for joining us this morning. We look forward to updating you on our progress in April. Goodbye.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.